Daniel Morris: Hello, everyone, and welcome to today's presentation of Ericsson's First Quarter 2024 Results. With me today are Borje Ekholm, our President and CEO; and Lars Sandstrom, Chief Financial Officer. As usual, we'll have a short presentation followed by Q&A. And in order to ask a question, you'll need to join the conference by phone. Details can be found in today's earnings release and on the Investor Relations website. Please be advised that today's call is being recorded, and I also need to advise you that today's presentation may include forward-looking statements. These statements are based on our current expectations and certain planning assumptions, which are subject to risks and uncertainties. The actual results may differ materially due to factors mentioned in today's press release and discussed in this conference call. We encourage you to read about these risks and uncertainties in our earnings report as well as in our annual report. I'll now hand the call over to Borje and to Lars for their introductory comments.
Borje Ekholm: Thanks, Daniel, and good morning, everyone. So let me first start off by welcoming my two new colleagues, Lars Sandstrom, our new CFO; as well as Daniel Morris, our new Head of IR. So it's great to have both of you joining the call and being on Board at Ericsson, so a big welcome. So first, I will cover some key highlights from the quarter before Lars goes through the financials in much greater detail. So during Q1, we continue to execute on our strategy to strengthen our leadership in the mobile networks and drive a focused expansion into enterprise, while of course, continuing to strengthen our culture and operational execution. As expected, our customers remain cautious with their investments and our organic sales decline and with India slowing following the rapid and unprecedented 5G buildout last year. We continue to view the level of industry investments that's unsustainably low, but we can't in reality impact this in the short term. Though what we work on is what we can control, and that's like the commercial and operational discipline, and of course having a competitive solutions and product portfolio. So despite the market headwinds and difficult market conditions, we maintained our market leading position and delivered a good improvement in gross margin to 42.7%, excluding restructuring charges. For the rest of the year, we expect the mobile networks market to remain weak. External sources estimate that the global RAN market will decline by minus 4%. That looks a bit optimistic to me. However, we see the potential for sales to start to stabilize on a year-over-year basis during the second half. And then reason for that is, of course, that North America investments are expected to grow for the full-year 2024 and in the second part of the year, we should start to see the benefit from this. But we will, of course, also see the benefit from the recent contract win we had that we announced in the end of last year. We continue to be disciplined in our execution, including proactively taking cost savings measures to ensure that we're well positioned to maximize shareholder value when the market ultimately improves. We're still in the early phases of the build out of 5G, but the improvement in the market will ultimately be in the hands of our customers, and that will happen when traffic grows and new use cases can be launched. So in the meantime, we remain fully focused to manage what's in our control, but at the same time, making the critical investment that reinforces our long-term competitive positioning. And of course, that includes creating the high performance and programmable networks for the future and exposing their capabilities through a Global Network Platform for network APIs. You've seen that revenues in Vonage fell during the quarter, and that's due to the contract loss we had in Q4, but also our decision to reduce our operations in some countries. Of course, we need to prudently manage the current business in Vonage, but our strategic ambition with Vonage is to build up the Global Network Platform. And during the quarter, we took several steps in our strategy execution by announcing partnerships with Verizon, AT&T, AWS, and KDDI. You heard me say this before, but creating this market will take some time, but we're seeing good traction in building the ecosystem, which will be ultimately be crucial to drive the next step of digitalization of enterprise and society, leveraging the capabilities of their mobile networks. And 5G is really a platform technology that allows many different use cases that actually build on that technology. We see very good and solid opportunities on mission critical networks in many parts of the world. And you have seen that during the quarter, we launched something we call the Ericsson Federal Technology Group. And that's an activity that we can use to serve the different parts of the U.S. government. And we see this as an very interesting opportunity to expand our market for the 5G technology. Let me also briefly touch on the news that our independent monitor has certified our compliance program. This is, of course, a very important step in order to conclude our plea agreement with the DOJ, but our focus on culture and integrity will continue beyond the monitorship. So with that, I'd like to pass over to Lars to go through the financial details of the quarter.
Lars Sandstrom: All right. Thank you, Borje. Let me start by adding a few additional points on the group before we discuss the segments in more detail. In the quarter, we saw an organic sales decline of 14%. This was primarily driven by Networks. In North America, the rate of decline improved in the quarter and customer inventory levels have now stabilized. As Borje already highlighted, we delivered a good expansion in our gross margin, excluding restructuring charges with 42.7% in Q1. OpEx, excluding restructuring charges was down by SEK 0.8 billion in the quarter with the benefit of our cost saving actions, partially offset by higher variable incentives and inflation. We are working to identify additional efficiencies and believe there is more we can do. EBITDA, excluding restructuring charges was SEK 5.1 billion in the quarter with a margin of 9.6%. This included a onetime gain of SEK 1.9 billion from the resolution of a commercial dispute. With that, let's move to the segments. In Networks, organic sales were down by 19% year-over-year as customers continue to be cautious with their investments, and as India slowed as expected, following a rapid 5G build out last year. Despite this, we generated a strong gross margin, excluding restructuring charges of 44.3%. This was driven by our competitive product portfolio as well as our actions on costs. Gross margin was also positively impacted by retroactive IPR licensing revenues. EBITDA, excluding restructuring charges, declined to SEK 4.3 billion compared to SEK 6.4 billion last year and we reached an EBITDA margin of 12.7%. The decrease in EBITDA reflects continuous cautious customer investment level across multiple geographies, leading to lower sales and lower gross income. As Borje said, we are taking proactive actions to optimize the business and drive efficiencies, and this is already supporting gross margins and driving down operating expenses. In segment Cloud Software and Services, we continue to execute on our strategy to strengthen delivery performance and commercial discipline. Organic sales decreased by 2% compared to last year primarily driven by de-scoping contracts and contract access in managed network services. While this is impacting the top line, these are strategic actions that will position the segment for attractive profitability levels in the future. We delivered a gross margin, excluding restructuring charges of 37.4%, and EBITDA margins improved year-on-year for a fifth consecutive quarter. Our IPR revenues grew in the quarter with a new 5G patent license agreement and we are confident of delivering future growth benefiting from additional 5G agreements and an expansion into additional licensing areas. The time of growth will vary as we seek to optimize the value of new agreements. In Enterprise, sales were broadly stable overall, with growth in Enterprise Wireless Solutions, offset by a decline in Global Communication Platform. Sales in Global Communication Platform were negatively impacted by an earlier announced loss, low margin customer contract that we lost in Q4 and our decision to reduce our operations in some countries, with the impact expected to continue throughout the year. Gross margin, excluding restructuring charges, increased to 48.1% with improvements in Enterprise Wireless Solutions and technologies and new businesses. Turning to free cash flow, which was SEK 3.7 billion before M&A in the quarter. This strong improvement compared to last year is due to our operational actions on working capital, including lower inventory levels. Cash flow also improved as large customer projects move out of the intense rollout phase, something that affected working capital last year and is now behind us. Variable incentive payments were also lower compared to last year. Net cash increased sequentially by SEK 3 billion to SEK 10.8 billion, driven by positive free cash flow after M&A and the positive exchange rate effect. And we delivered a return on capital employed of 9.2% in the quarter. Next, I will cover the outlook. Turning first to sales where we expect seasonality in Mobile Networks to be broadly similar in Q2 to what we have seen in the past. In Networks, average seasonality between Q1 and Q2 has been around plus 8% over the last three years and includes Software and Services, it has been around 13% plus. For the full-year, we expect the RAN market to decline. External sources estimate this decline to be around 4% globally, but as Borje already mentioned, we view this as optimistic. Given our contract win, which will contribute during the second part of the year, we see potential for stabilizing sales on a year-over-year basis during the second half. In Enterprise, we expect sales in Global Communication Platform to continue to be impacted by the recent low margin customer loss and our decision to reduce operations in some countries. Next, turning to profitability. In Networks, we expect Q2 gross margin, excluding restructurings to remain solid between 42% to 44%. Sequential changes will be driven primarily by less favorable market mix compared to Q1, which also benefits from higher IPR revenues. As mentioned before, the benefits from recent contract wins in North America will be seen more in the second half. Regarding OpEx, we expect to see the usual seasonality between Q1 and Q2, which over the last three years has been an increase of some SEK 1.6 billion. And finally, the further cost actions announced during the quarter will bring additional restructuring costs, which we anticipate will be in the range of SEK 3 billion to SEK 4 billion in 2024. We are in the early stages of discussions with unions, and we'll update you on timing once those have been progressed. With that, I will hand back to you, Borje.
Borje Ekholm: Thank you, Lars. Yes, we are facing a tough market environment, but given that we are laser focused on managing what's in our control through commercial discipline and the strategic actions we're taking, of course, including the cost savings initiatives. We're prudently managing our operations and balance sheet. At the same time, we're focused on executing on our strategy and keeping investments critical to our long-term transformation and future growth intact. It's foundational that we maintain our technology and market leadership. We're also focused on taking important steps to build a stronger Ericsson for the long-term, which will ensure we remain best positioned when the market eventually recovers. In addition to investing in our technology leadership, flexible supply chain and digitalization of Ericsson, we're investing in Enterprise to help generate the meaningful growth the telecom industry needs, including through our Global Network Platform for network APIs. Creating this new market will take time, but will be a crucial in the next step of driving digitalization of enterprises as well as society. And our vision to become the leading networks and enterprise platform is unchanged. And as you've seen, we're taking steps to realize these ambitions. With this, I think we are ready to take your questions.
A -Daniel Morris: Right. Thanks, Borje. [Operator Instructions]. Super. So the first question today is going to come from Andreas Joelsson from Carnegie. Andreas your line is now open.
Andreas Joelsson: Thanks a lot. And good morning everyone. Just a little bit curious on the comments into the second half. It seems like you feel that the visibility for the second half is a little bit higher than normal perhaps, given the contract that you have signed. But can you say something more about the rest of North America and the visibility you have on that part? What you build your expectation on the improved stabilization for the second half? That would be great. Thanks.
Borje Ekholm: So Andreas, what we see is in reality a couple of things going on in North America. The first one is really that inventory levels are stabilizing now and our norm kind of at low levels with our customers. And that gives us more comfort. The second thing is, of course, the contract wins that will start to drive meaningful revenues in the second part. And that's what creates the view that we have -- that we should be able to see a potential for stabilization in the second part of the year on sales.
Andreas Joelsson: Could I have a follow-up on that maybe on that contract? What has the reaction been from other large customers based on that open RAN contract?
Borje Ekholm: It's generating a lot of discussions in the market and basically with all customers that this is -- and I think we said that already when we announced, it's a bit of an industry shaping type of contract where the customer, in this case, looks at the total OpEx envelope and the total CapEx envelope and tries to optimize the investments in revenue generating equipment. So when they look at this, this is starting to drive the similar discussion in many customer interactions. We saw that in Mobile World Congress just a few months ago in the end of February, where this was one of the key discussion items with a number of customers, and we'll see how we can deliver on that going forward, but it puts us in a very interesting position with very interesting discussions with customers.
Andreas Joelsson: Thanks a lot, Borje.
Daniel Morris: Thanks for the question, Andreas. We will move to the next question. The next question comes from Francois Bouvignies from UBS. Francois your line is now open.
Francois-Xavier Bouvignies: Great. Thank you very much. So my question was on the gross margin, which obviously was strong this quarter and looking at your Q1 outlook as well remaining at high level. So maybe what would be helpful is, can you quantify this cost versus mix versus pricing, in a way, giving more visibility into the gross margin trend? And how should we think about the gross margin, therefore, going forward? Do you have a lot of costs to take out still? And so basically, in other words, the sustainability of this gross margin would be very helpful. Thank you.
Lars Sandstrom: I can start and then you fill in Borje. On the gross margin here in Q1, I think it's worth mentioning, there is -- it is -- in basics, it's -- there are no big one-offs. There is one, and that is the IPR agreement that helped the margin a bit in Q1. But otherwise, it's a fairly stable product and market mix. In some areas, you could argue a little bit weaker on the software product mix side. But what we see is a general improvement in our cost structure, supporting margins and also general improvement in margins in several markets and product areas coming through actually. So it's -- there is no big swings in the quarter from that perspective. So I think it is the cost reductions that you are coming through in a good way. And also what we mentioned here when it comes to commercial discipline to really focus on profitability in the business that we conduct. And on your question there forward, we don't guide and we give you an outlook for Q2. What we can say on the second half is that we have somewhat support from the market mix with North America ramping up and India then as a year-over-year comparison coming down somewhat. But that is -- that has some impact, but not too much, I would argue still.
Francois-Xavier Bouvignies: And then on the cost measures, I mean, do you have a lot to potential still to work on? Or where are you in these cost measures in the gross margin?
Lars Sandstrom: Yes. On the previous program that you have talked about, I think there we are where we -- those are through now and have delivered, and we see that impact. And then what we have announced during Q1 on the additional side that is to support. That will take a bit of time, as you know, when we need to have the union negotiations in place, et cetera, and then it takes a bit of time before it comes through in the result in the financials.
Francois-Xavier Bouvignies: Thank you.
Lars Sandstrom: Yes. On the previous program that you have talked about, I think there we are where we -- those are through now and have delivered, and we see that impact. And then what we have announced during Q1 on the additional side that is to support. That will take a bit of time, as you know, we need to have the Union negotiations in place, et cetera, and then it takes a bit of time before it comes through in the result, in the financials.
Francois-Xavier Bouvignies: Thank you.
Borje Ekholm: Just to add, we know from experience also when we do cost initiatives on the cost of sales, it takes a bit of time before it comes through into the P&L. That's why you also see the support from the cost out we did last year coming through now. It takes a bit longer than you would hope sometimes.
Daniel Morris: Thanks for this question, Francois. We will move on to our next question. So the next question comes from Joachim Gunell at DNB. Joachim, your line is now open.
Joachim Gunell: Thank you for that. And good morning. So just a clarification when it comes to how you've talked about H2 and this stabilization in growth coming from year-over-year declines in H1. Does that -- is this basically supporting your view of the overall Networks market or is this also to be seen for you -- I mean is this excluding the AT&T contract ramping where you expect more of a flattish development H2 or is this including that contract?
Lars Sandstrom: If we start with your comment there on stabilization on growth, I think we are not saying stabilization of growth, we are saying stabilization of it in the down going market. I think that's worth reminding. And also on the total, where we highlight the external view of minus 4%, which we see -- still see a bit optimistic. So just to get that right. And in this, what we talk about saying that is, of course, including the total group, including the rollout of networks in the U.S.
Joachim Gunell: That's clear. Thank you.
Daniel Morris: Great. Thanks for the question, Joachim. The next question will come from Sandeep Deshpande at JPMorgan. Sandeep, please go ahead.
Sandeep Deshpande: Yes, hi. Thanks for taking me on. My question is, when you look at North America and your design wins in -- your footprint wins in North America, how do we -- how should we look at them in terms of not only the -- how they're going to ramp up as well as the margin impacts of these -- of these wins, whether they will be immediately accretive or they will take time to be accretive to margin?
Lars Sandstrom: I think here, it has not a big impact. It's rather stable over the rollout period. It depends a little bit on the work that we conduct during the project phase and that plan is going on together with the customer now. And so there can be in some periods, a bit of a weaker margin and then it's back to normal again for this market. So that it is a bit early to say in that sense, and we will see that paying out. And this is a long-term contract. It's for '24 into '25 and forward as well.
Sandeep Deshpande: And you're fairly confident this is going to start in the second half of this year?
Lars Sandstrom: Yes.
Sandeep Deshpande: Thank you.
Daniel Morris: Thanks Sandeep. So we'll move to the next question. So the next question is coming from Daniel Djurberg from Handelsbanken. Daniel, your line is now open.
Daniel Djurberg: Thank you, operator. And good morning, Borje, Lars and Daniel. A question on the IPR run rate, excluding one-offs entering Q2. How large was the catch-up item? And also, if I may, how many of the larger Tier 1 handset OEMs is still about to close 5G? Have you, for example, done the BBK and also the status of Lenovo would be found to understand. Thanks.
Lars Sandstrom: On the financials, the run rate coming out of Q1 here is around SEK 12 billion -- sorry, SEK 11 billion. And then what we have said previously is that we are aiming for a full-year of around SEK 12 billion to SEK 13 billion, and that remains.
Daniel Djurberg: Perfect. Is it sorry.
Borje Ekholm: A couple of the big handset vendors still remain unlicensed. And you know we have litigation ongoing with one of them you mentioned. So we can't comment really on where that is right now.
Daniel Djurberg: Yes, just a super first follow-up on the nonrecurring item of SEK 1.9 billion. It was a noncash, it seems, but it was a commercial dispute resolution. Why is it not cash flow impacting?
Lars Sandstrom: It will be cash flow impacting in Q2.
Daniel Djurberg: Super, thanks.
Daniel Morris: Great. Thanks for the question, Daniel. We'll move to the next question. So that's coming from Joe Zhou at Barclays. Joe, please go ahead.
Joseph Zhou: Hello, good morning everyone. And thank you for taking my questions. I have two. I'll go one at a time. So firstly, just to understand, in the second half, you mentioned stabilization, but it just seems to the quarterly phasing of it. Are we expecting to see still some contraction in Q3 before improving year-on-year in Q4? That's my first question.
Lars Sandstrom: I think I understand your question. But as you know, we have large project deliveries coming in. And if they end up in a quarter or the next quarter, it's always very difficult to exactly pinpoint that. So we will -- that's why we keep to explaining the second half of the year only.
Joseph Zhou: Okay. Thank you. And then my second question is just on the free cash flow. And this quarter, there is quite a meaningful boost from contract liabilities of SEK 6.5 billion. And I understand most of that typically is customer advances. And -- can you just give us some more color on why is that -- do you have that kind of increase? Because that can be explained or by the IPR payments just by looking at the magnitude looking going forward as well.
Lars Sandstrom: Yes. I think impacting the working capital is, as I mentioned, we have a reduction in inventories supporting. We also have a significant lower paying out on the incentives this year compared to last year. And then, of course, the whole contract ramp-up that we had last year. So those are, I'd say, the three big components impacting working capital year-over-year.
Joseph Zhou: Yes. Sorry, I get the inventory going down, but contract liabilities is a separate thing. Is that specific item? It's been building up again, I have been following like three or four quarters declines. I just wonder what is driving that?
Lars Sandstrom: I think you have -- let me get back on the details, and I'm happy to do that. But the main fee impacts are what I said, it's inventories, it is the lower incentive payouts and then the whole contract rollout that we had last year. So those are the main items. But I think we are happy to reach out to you to give more insights into the different parts.
Joseph Zhou: That'll be great. Thank you. Super helpful. Thanks.
Daniel Morris: Thanks, Joe. Moving to the next question. Next question is coming from Sebastien Sztabowicz at Kepler Cheuvreux. Sebastien, your line is now open.
Sebastien Sztabowicz: Yes, hello and thanks for taking my question. On Vonage, the business is now down by 5% year-on-year in Q1, and the group is trending well behind your and our initial expectations. Are you taking any specific actions to support sales in the coming quarters? And coming back to this, I would say, activities in some countries that you are reducing. What are the reasons behind that exactly? What is happening in those countries with Vonage? Thank you.
Lars Sandstrom: Yes. As you saw and as you mentioned there, Vonage is down. And as we mentioned, it is a loss of contract that we had last year in Q4. And also that we look at the different markets where it makes commercial sense to invest. And in some markets, we have said that we reduced our activities there and focus on more of the growth areas where we see there is a better opportunity. And I think there, it is really we are focusing on the long-term investments here to drive this part of the industry.
Borje Ekholm: Yes. As I said, Sebastien, it's in reality, our focus is on driving the global network platform for network APIs. That's where we are tremendously focused. We're trying to, of course, manage the current business as prudently as possible, but it's really the focus on executing the strategic rationale behind the acquisition. That's our key focus. And that's where we allocate most of the time. And that's where we are starting to get the traction. We had DT in the end of last year, followed by Verizon, AT&T, KDDI and AWS now in the first quarter. We're trying to shape that ecosystem. That's really where the criticality is.
Sebastien Sztabowicz: We see good commercial traction. But when do you expect more sizable revenue to be recognized on network CPI? Is it one-year horizon or more three to five year horizon for Network KPIs?
Borje Ekholm: I think the reality here is it's going to be the next one to two years when this market will be shaped. That's really where our focus is. Then I think we'll see a longer-term growth as applications start to develop and use cases start to develop. But to get this first traction, it's about creating that market. That's why it's so important, of course to get operators in, but it's equally important to get application developers, digital native starting to use what's available. And we see actually an interest now from developers, from the hyperscalers about how do we shape this market, how do we create the applications of the future. It's really up to us now to deliver on that. And that's really where our focus is.
Sebastien Sztabowicz: Okay, thank you.
Daniel Morris: Thanks, Sebastien. So just turning to the next question. The next question will come from Erik Rojestal from SEB. Erik, please go ahead.
Erik Lindholm-Rojestal: Yes, thank you and good morning everyone. So you announced some further cost measures here with a headcount reduction of 1,200 in Sweden. I mean is it possible to quantify what sort of impact you expect to see from this? And when do you expect it to start contributing? Thank you.
Lars Sandstrom: All right. Thanks, Erik. As we said, we -- in the outlook here, we see restructuring costs for the full-year of SEK 3 billion to SEK 4 billion. And how do we -- normally, we are in the negotiations now in Sweden, and we are looking into more countries as we also have mentioned, and that it always takes a bit of time before it comes through depending on the market and what activities we do. So we will not see too much of that impact until the end of the year. I would expect as it looks now. But depending on how we are progressing, and we will update you continuously on this in the coming quarter as well to give you more insights on this topic.
Erik Lindholm-Rojestal: All right, perfect. Thank you.
Daniel Morris: Thanks for the question, Erik. Turning to the next question, we have Felix Henriksson from Nordea.
Felix Henriksson: Felix Henriksson from Nordea. Thanks for taking my question. I wanted to ask about the free cash flow trajectory moving into the right direction during Q1. So just on the phasing for the rest of 2024, given the sort of working capital release that you expect to witness in India? And also given these additional restructuring charges that you've communicated, how should we think about the free cash flow trajectory for the rest of the year?
Lars Sandstrom: I think as I mentioned there before, the working capital buildup we had last year also came down at the end of Q4. So we will have some support on that also this year. We have part of it now and that -- so there will not be a very big impact for -- coming for the rest of the year from that part. Then, of course, we have a continuous focus on working capital for the rest of the year. And of course, as you know, the most important part of the cash flow is EBITDA and the result before working capital.
Felix Henriksson: Perfect, thank you. And as a quick follow-up, could you perhaps clarify that which market do you think that Tellaro is too optimistic about in the sort of minus 4% global RAN market forecast for this year? Thank you.
Lars Sandstrom: No, we don't go into the different markets as such. What we say is that the total decline of 4% is a bit optimistic as we see it now.
Felix Henriksson: Got it, clear. Thank you.
Daniel Morris: Thanks for the question, Felix. Moving on to the next. We have Sami Sarkamies at Danske Bank. Sami, please go ahead.
Sami Sarkamies: Hi, thanks for taking my question. I would still like to dig a bit deeper into the new cost program. So could you provide some kind of split between COGS and OpEx, the total savings target and maybe mention a couple of areas where you're able to find new savings on top of the measures that you implemented last year?
Lars Sandstrom: I think I cannot give you a split between COGS and OpEx there. We are identifying different areas, but it's in both, for sure. And it is mainly -- or to large extent it's related to people costs, both employees, but also consultants that we have in the group. And then to some extent, there can be connected to real estate savings, et cetera. So those are sort of the key areas. But these are targeted structured plans that we are setting up and I think we are happy to come back as they progress and when we do the restructuring to share more on what we are doing there.
Sami Sarkamies: Thanks.
Borje Ekholm: And I think it's one thing to add there, Sami is that, we like also to get into more of a habit of continuous improvements to actually take cost out continuously rather than think about this as programs. The problem, and you know that from different countries and primarily Europe, it becomes -- when you consolidate it becomes a large number, and that's why we felt it was appropriate to communicate the Swedish number not to avoid speculation. But in reality, this is going to be part of driving a continuous focus on efficiency. But we're taking out some activities as well, which includes focusing the product portfolio a bit more and things like that.
Sami Sarkamies: Okay, thanks and welcome onboard, Lars.
Lars Sandstrom: Thank you.
Daniel Morris: Thanks for the question, Sami. So the final question today comes from Richard Kramer at Arete. Richard, your line is open. Please go ahead.
Richard Kramer: Okay, thanks very much. Borje, I guess just to wrap up, we've heard you talking for many years now about rising traffic and underinvestment by your large customers. specifically noted that in Europe, where we have a number of consolidations underway. What do you think unlocks that? I mean what are you looking for with your customers to say or to show that they're going to be willing to spend more? Because right now, it just feels like the business is drifting without a catalyst for increased spending by those customers. Is there anything you can point to in the second half of the year or into 2025 that's going to force the issue and raise those relatively low spending levels? Thanks.
Borje Ekholm: Thanks Richard. That's the -- you're asking the right question. I mean the reality is we see the traffic growth in the networks continues. And you start to see in many markets, not singling out anyone specifically, but you're starting to see congested networks, which means that when it's crowded, you're in the crowded space, you may actually get the signal, but you can't really use it. You have simply no capacity left in the network. We're starting to see those signs. We start to see signs that sites are congested. At the same time, the industry has a problem with return on investments. And that's why I think personally we need to see in-market consolidation actually start to happening and start to get approved. When that happens, we will get bigger scale. And it's interesting, when you look at this from a global perspective, the average European operator is about 4.5 million subscribers, it's 95, I believe, in the U.S., 300 in India, 400 in China. So the scale in Europe is simply too small. So there is consolidation needed. The second part that needs to happen, and that's what we try to do with the global network platform for network APIs is actually to change the pricing model in the industry. So today, you have a pricing model on almost call it, a monthly subscription. And that monthly subscription is kind of decoupled from network traffic, network investments, et cetera putting actually a squeeze on the profitability in an operator. What we need to see happening to unlock investments is that you're able to monetize the network features. And that think about it as speed, latency, could be location, it could be different quality of service or differentiated experiences you can offer network slicing, for example. We need to define that new type of use cases that unlocks those revenue streams. Otherwise, the customers, our operators, they're not going to see growing revenues. And if they don't see growing revenues, they're not going to invest. That's the perfect rational decision. So I think we have that, call it opportunity or maybe responsibility to create those new type of revenues coming out of leverage in the 5G technology in a better way. That's why you see our investments on the enterprise side being so important.
Richard Kramer: Okay. Super, thank you.
Daniel Morris: Super thanks, Richard. Thanks Borje, Lars. And this concludes the call for today. Thanks everyone for joining us.